Barbara Gregor: Thank you very much, operator and welcome everyone. We very much appreciate that you are taking the time for this investor and analyst call on Our Full Year 2024 Results. Today in the call is my colleague and SMA CEO Jurgen Reinert and our new colleague Olaf Heyden, who took over as a Chief Transformation Officer and COO as of February 14, 2025. Welcome to the call, Jurgen and Olaf. This conference call is scheduled for up to 60 minutes and will be recorded after the management presentation, we will be happy to answer your questions. Today's presentation is available on our investor relations website. The replay will also be available on our investor relations website shortly. Our agenda for today. First, I will give an overview of our full year figures 2024. After that, Olaf will give an overview on the most important elements of our restructuring program and Jurgen will take. We will talk about the key items of our transformation program. Last but not least, we're happy to look at our order backlog as well as our outlook for the financial year 2025. I expect the presentation part of the call to last about 30 minutes and after the presentation we are happy to answer your question. I refer to our disclaimer on page 2, so let's move to page 4. Financial Highlights of the Full Year 2024; Key Financials the group sales reached EUR 1.5 billion and were below last year with EUR 1.19 billion in 2023. Large scale continued to perform strongly while home solutions and commercial and industrial solution revenues were still affected by the continuing market weakness. Group EBITDA came in at minus EUR 16 million after reaching EUR 311 million in 2023. Reasons were the low sales and the resulting lower fixed cost digression in the home solution and C&I solution segment, but also increased cost and impairment loss on inventories and provision as well as expenses in relation to the restructuring program. I will provide more insights on the individual segments in a moment. Free cash flow reached miinus EUR 184 million resulting from an increase of net working capital, related to the reduced sales in Home and C&I. Compared to the free cash flow end of Q3 2024, which stood at minus EUR 220 million, we achieved already a significant improvement and thus were able to stabilize our cash position end of 2024. Total order backlog stood at EUR 1.36 billion end of December 2024. Now let's move to page 5. Sales by region and by segments. On the left-hand side, you can see that EMEA is still our biggest region but came down to 48% from 68% in 2023 due to the soft sales development in home and C&I in 2024. Americas revenue share increased from 25% to 40% mainly driven by the large-scale segment. The large-scale segment remains the strongest in this region with more than 90% share. The APEC region share increased from 7% to 12% also from strong growth of the large-scale business. Here, Australia again showed a very strong development. The top three markets for SMA Group in 2024 were US, Germany followed by Australia. Now let me walk you through the sales per segments on the right side of the slide. For the whole year, the sales development in Home and C&I was driven by a delayed increase in order intake; due to the slower than expected reduction of inventories at distributors and installer stocks and a sustained overcapacity in the market. Additionally, lower electricity price, high interest rates and increased uncertainty due to the elections in Europe and the US in 2024 led to postponements in investments. Against this backdrop, revenues in home segment decreased by 71% from EUR 580 million in 2023 to EUR 170 million in 2024. The segment's share of total sales thus came down to 11% compared to 31% in 2023. EMEA remained the biggest region for the segment. C&I achieved EUR 184 million compared to EUR 479 million in 2023. EMEA remained the strongest region for the segments with 74% share of total revenues. Large scale showed a very strong revenue development from EUR 845 million in 2023 to EUR 1.18 billion in 2024. Americas remains the strongest region with a stable 49% of the segment's sale. As is expected, the strong project pipeline built-up since second half of 2023 was realized in our revenues. Now let me provide you with more information on our profitability. EBITDA came in with minus EUR 16 million compared to EUR 311 million in 2023 due to low sales and the resulting lower fixed cost digression in Home Solutions and C&I Solutions. Other reasons were the increased cost and an impairment loss on inventories amounting to EUR 113 million as well as provisions in relation to the restructuring program of EUR 33 million. Due to the reduced sales level and the revised market growth expectations in home solutions and C&I solutions segments, impairments on capitalized development projects amounting to EUR 22 million and provisions for purchase obligations amounting to EUR 16 million were also recorded. In addition, the earnings include income from the sale of shares in Alexon GmbH amounting to EUR 19 million. EBIT -- EBITDA margin reached thus minus 1% compared to 16% in 2023. With about EUR 77 million, depreciation was above the level of 2023 of EUR 42 million mainly as a result of impairments and higher amortization of intangible R&D assets. Now let's have a look on the segments in detail. EBIT for home segment amounted to minus EUR 141 -- EUR 151 million compared to plus EUR 148 billion in 2023 due to the price and volume related sales decline as well as increased costs and impairments on inventories of about EUR 45 million. Furthermore, the segment's earnings are negatively impacted by the provision for purchasing agreements totaling EUR 10 million; the impairment of production line amounting to EUR 4 million and the impairment of capitalized development projects in the amount of about EUR 15 million. C&I came in at minus EUR 164 million plus 23 versus plus EUR 23 million in 2023 due to the reduced demand on the resulting low sales as well as increased costs and impairments on inventory of nearly EUR 50 million. In addition, provision for purchase commitments amounting to EUR 5 million as well as the impairment of capitalized development projects totally EUR 8 million negatively impacted the segment earnings. Our large-scale segment showed a significant earnings improvement in 2024 reaching EUR 227 million compared to EUR 104 million in 2023. Reasons were the high level of sales and fixed cost digression. An increase in sales, the profitability of the product mix and a very good earning of Altenzo contributed to this. Conversely, the impairment of inventories of EUR 90 million had a negative impact on the EBIT and overall EBIT margin increased to 19% after 12% in 2023. The overall EBIT margin for the SMA group amounted to minus 6% compared to plus14% in 2023. Now we will move on to the balance sheet and the networking capital development on the next slide. Networking capital, which is shown on the top left of the page, reached EUR 473 million and is above the 2023 year-end figure of EUR 392 million. This leads to a net working capital ratio of 31%. Let me explain the networking capital development in detail. Inventories end of 2024 were at EUR 564 million compared to EUR 559 million the year before. On the first glance this appears to be stable. However, it includes EUR 113 million of devaluations booked in 2024, which resulted from long term purchase obligations which were based on higher revenue expectations for home and C&I solution. Excluding 2024, devaluation inventories increased by approximately EUR 120 million compared to last year. Trade receivable decreased in line with the lower level of revenues compared to 2023 and trade payables also decreased compared to year end 2023, also reflecting our lower purchasing volume for home and C&I, especially in the second half of 2024. Advance payments which we received from our customers increased compared to year end 2023 in-line with the strong performance and project pipeline of our large-scale segment. Net cash came down from EUR 283 million end of 2023 to EUR 84 million mainly as a result of the build-up of networking capital. However, our restructuring measures which started in Q4 showed the first positive results and thus we were able to stop the cash drain and stabilize our cash position. Now let's have a look on the group balance sheet on the right side of this page and as I have already explained the change in networking capital positions, I will now focus on the major changes in our balance sheet positions. As I just explained the change in net cash, I will start by explaining the change in total cash and financial liabilities. In order to ensure that we constantly have sufficient cash for our running operational activities, we utilized EUR 145 million from our revolving credit facility for December 2024. You may recall that we negotiated this new credit facility with our banks in 2023 as short-term financing for changes in networking capitals. So exactly for our current situation you find this under financial liabilities in our balance sheet and this also explains the difference between our net cash of EUR 45 million and our total cash position of EUR 229 million by end of 2024. Regarding the other balance sheet items, non-current assets increased assets increased to EUR 479 million mainly as a result of ongoing investments in equipments for our new production facility for the new large scale product platform as well as IFRS 16 leasing additions from these contract extensions. Shareholders Equity decreased from EUR 686 million to EUR 553 million due to our net loss in 2024, provisions increased from EUR 201 million to EUR 233 million mainly due to the increased provision for personnel. As part of the restructuring program, our liabilities increased to EUR 446 million mainly driven by the higher advanced customer payments related to our large-scale pipeline which I mentioned before. That concludes my explanation of the balance Sheet and now let's have a look on our cash flow development. In the reporting period, gross cash flow came in at EUR 111 million compared to EUR 333 million in 2023 as our operating result was far below the extraordinary level of 2023. As a result of this lower gross cash flow and the increase of net working capital, cash flow from operating activities amounted to minus EUR 113 million compared to plus EUR 141 million in the year before. In 2024, the group invested EUR 90 million in net CapEx which mainly composed of investments in our product portfolio, including capitalized R&D project costs and investments in fixed assets. The increased level of investment spending was mainly related to our new platform in large scale and project solutions, which also includes the expansion of our production capacity and capabilities here in Germany. Considering all these effects, our free cash flow decreased from EUR 57 million to minus EUR 184 million in 2024, mainly resulting from higher net working capital, excluding devaluation effects which have no influence on the cash. Please note that we had no cash outs from the restructuring program in 2024, this will be made in 2025. So let's move to the next page Order backlog and looking at the left side of the slide you see that our Order backlog reached a level of about EUR 1.36 billion at the end of 2024. Product order backlog stood at EUR 1 billion. On the right side of the page you can see that large scale product order backlog remains very Strong with nearly EUR 982 million followed by C&I with about EUR 31 million and Home by EUR 21 million. For the group in total, Order intake in Q4 was very strong for large scale order intake for Home and C&I remained very soft as expected. This is it for the moment from my side and I would like to hand over to Olaf and Jurgen for more details about the ongoing restructuring and transformation program.
Olaf Heyden: Yes, thanks Barbara. And very warm welcome from my side as well. Since I've just recently joined the company, I'd like to quickly introduce myself. I joined SMA back in September 2024, leading our Corporate Restructuring and Transformation Program at Interim and in February this year I've been appointed as Chief Transformation Officer and Chief Operating Officer. In this role, I will lead the restructuring and transformation program as well as the functional areas of operations, human resources and digitalization. The combination of these areas is key for the success of our transformation program as they represent major areas of change and efficiency improvement. Before joining SMA, I've spent more than 30 years in different senior and C level leadership roles, always with a strong focus on operations, services, restructuring and transformation. Most recently I run as a Chief Operating Officer at Diebold Nixdorf of the day-to-day business of the company. Other positions in my professional career have been with Deutsche Telekom T-Systems and Freudenberg. I'm really excited about the opportunity to drive forward the transformation of the company. Our clear objective is to optimize our product portfolio with a strong commitment towards service and quality. Ultimately, we want to put SMA back on the path to long term success. As I just explained, my main focus will be to steer the restructuring and transformation program. Let's turn to the next page for some more information. When we started the Restructuring and transformation program in September 2024, we defined four guidelines. The first guideline was to develop concrete and tangible measures to improve our long-term cost efficiency and to quickly reduce liquidity requirements. Secondly, we aimed at significantly increasing our flexibility in service provision to be able to efficiently and quickly react on fluctuations in volume and product mix. The third guideline we defined was to create an organizational structure and culture that ensures the overall takeover of responsibility. We especially aimed at giving more responsibility to the divisions. And last but not least, we set out for future proof SMA by developing and implementing strategies and measures to ensure long-term competitiveness and sustainability of the company. Early on, we have also defined an ambitious cost saving target with an EBIT improvement of about EUR 150 million to EUR 200 million. Let's have a look at the breakdown on the next slide. We have identified the improvement need based on EBIT benchmarks and our forecast for 2024. The outcome was a needed EBIT improvement of about EUR 200 million for the coming years. The needed savings are going to be reached by addressing four key clusters. First, we aim to generate additional revenue by increasing the volume and optimizing our pricing. Second, we will decrease material costs by renegotiating supplier contracts and process driven negotiations and by leveraging supply markets to reallocate material sourcing. Third, another cluster we are addressing is our operational expenditures. Here we are currently reducing the spend for external service providers such as advertising agencies or consultants and we are reducing our indirect costs like expenses for fleet IT licenses and office supplies. And last but not least, the biggest leverage we are realizing cost savings in our personal cost. In this cluster we reduce our workforce by around about 1,100 full time equivalents. Globally we will simplify our structures like consolidating our home and C&I business into one division. Home and Business Solutions and we are rightsizing the organization to expected revenue levels. We are well underway with restructuring and optimistic to be able to deliver on our ambitious target on the plant up to EUR 200 million. Our ambition is to realize approximately 40% already in 2025. Let us look at the changes to the operating model on the next slide. Our target operating model will be defined along two main tasks. The Corporate center will be responsible for the long-term strategy value creation and the two divisions will be responsible for the mid- and short-term results with much more focus on their P&L responsibility within the strategic framework. The new structure will consist of a lean corporate center, two divisions, a multi shared Services center and a Global Competence Center. The steering of the country organizations will be done by the divisions. The two divisions are large scale and Project Solutions which will basically remain unchanged. And the new division, Home and Business Solutions that consolidated the formal two segments, Home Solutions and Commercial and Industrial solutions. With reduced workforce, the multi-shared Services center will deliver transactional tasks like HR services, order management or accounting to the company at market price. And it will be located in Krakow where SMA already has experience from our daughter company Magnetics. The Global Competence center will build on an existing competence center in India and will provide technological and software development capabilities to our two divisions. The daughter company Altenzo will be steered by the Corporate center as well. Across the whole company, we are right sizing the personal to the expected revenue for 2025 and beyond according to our benchmarks. Across all divisions and functions, we are reducing up to 1100 full time equivalents. One aspect of the new operating model is a decrease in our fixed cost which will achieve by consolidating the two divisions and an increase in our cost variability by shifting tasks to the MSSC and the Global Competence Center, making use of the attractive cost structure here in parallel, we are ongoing restructuring efforts. We are now entering into a companywide transformation with Jurgen and he will explain that one a bit more.
Jurgen Reinert: Yes. Thank you Barbara and Olaf and a very warm welcome also from my side. Now that Barbara has reported on the full year figures and Olaf walked you through our restructuring program, I would like to take this opportunity to say a few words about our divisions and how we are going to ensure their success. First, let's have a look at home and business solutions of our new division. Sales here are still heavily impacted by the overcapacities from 2023. Furthermore, we are facing a challenging market environment with low price competition. We have therefore adapted the organization and cost structure to reflect our sales expectations for 2025 and beyond, we have also started strategic initiatives with three major focus areas. The Division has a clear goal to increase competitiveness and differentiation. This will be achieved by focusing on a new and improved portfolio that reflects customer expectations, becoming an even stronger partner for our installers, and by improving our service level significantly. In addition, the division will continue to diligently work on reducing costs to ensure its profitability. By delivering on the strategic initiatives, we expect home and business solutions to grow slightly in 2025. Now let's turn to the next page to look at large scale and project solutions. Large scale and project solutions has performed exceptionally well in both '23 and '24. We can see that our strategy works and that our customers are seeing us as the reliable choice with our grid functionality offerings. As a true differentiator in the division, we are securing our future success by continuing the work to become faster to even better meet market demands. With an improved service offering, we are meeting the demands of our customers for more flexibility. We are confident that the division will be very successful in the future even though the growth rates from '23 and '24 cannot be continued at the same pace. I would like to draw your attention to three topics that are increasingly important in our industry and thereby to both divisions. Cybersecurity is a growing concern across all customer groups. SMA is on the forefront when it comes to securing data and we thereby are protecting our solutions and the grid from cyber-attacks. Our solutions in the field are a true USP in both divisions and have been recognized for example by JIF Nord. Another increasingly important topic is sustainability. If you read through the annual report, you will see that we are reporting our sustainability performance according to the strict requirements of the CSRD. This gives us and our stakeholders great transparency on where we stand with regards to our targets in the field of that is responsible purchasing, human rights and climate performance. The third topic is of course the stability and flexibility of the entire energy system. Due to the continued growth of fluctuating electrical production, battery energy storage systems or BEST are becoming increasingly important. Our offerings in the field of grid functionalities are the answer to the challenges of an increasingly fluctuating electricity supply. We are working on projects all over the globe and most recently Black Hillock, Europe's largest transmission grid connected battery storage system with a capacity of 200 megawatt in the first phase has been successfully put into operation. Our daughter company Altenzo is very active in the field, so let's have a look at their business on the next slide. In the last 10 years, Altenso has grown from a small and experimental startup to a well thought through business model with a diversified portfolio in battery storage, power to gas, off grid as well as hybrid solutions. In each of the last two years Altenso has achieved a revenue of above EUR 100 million and a very good profitability. The company, with nearly 100 employees has now also extended its value chain proposition and is very successful in the field of project development and delivery. Just recently Altenzo and Reinenge have announced a cooperation for building battery storage system projects with a capacity of a couple of hundred megawatts throughout Germany. Altensa is heading up the development, construction and maintenance of the Lotka battery storage system as a technology partner and holistic solution provider. Line Energy Trading will take on the operational management of the battery storage systems. Artenzo is a great success story that demonstrates SMA's ability to develop and manage diverse businesses with different maturity level. Now I would like to hand back to Barbara for some final remarks and the outlook for 2025.
Barbara Gregor: Thank you Jurgen. Let's turn to the last page. Our guidance for 2025. As Jurgen explained, even with the first positive signs of improvements in our home and Business solutions division, the demand is still soft whereas large scale benefits from its strong order backlog. Against this backdrop, we expect sales in large scale solution systems to be slightly above the high level of 2024. Sales for home and business solutions divisions are also expected to be slightly higher than the previous year. This means the group sales are expected to be in the range of 1.5 billion to EUR 1.65 billion in 2025. EBITDA and EBIT for the group will see a significant positive impact this year due to the reduction in cost and increase in efficiency as part of the restructuring and transformation program. Against this backdrop, we expect group EBITDA to be between EUR 70 million and EUR 110 million in 2025. For the Home and Business Solutions division we once again expect negative earnings however with a significant improvement over the previous year. In the current fiscal year, earnings in the large-scale project solutions divisions are slightly below the previous year as a result of higher costs and changes in product mix and regional distribution. Thus, we will in total lead to a single digit EBITDA margin for the group in 2025. Let me say some words on the overall market sentiment. The sentiment is currently driven by the geopolitical situation, potential implications from various proposed tariffs as well as the not yet defined impact for renewables from the EUR 500 billion infrastructure and climate protection package from the German government. These factors have increased uncertainty in the last couple of weeks where which of course has an influence on our reliable mid to long-term view. However, with our strategic focus as a system and solution provider, we believe that SMA is well positioned for the future because one thing is clear, the market requires advanced inverter and battery technology to drive the energy transition, to improve cybersecurity and to stabilize the grid. With our highly advanced technology, SMA offers a well-diversified solution portfolio to grab growth in all relevant attractive market segments over the next years. Last but not least, one note to our upcoming events, our Q1 2025 financial results will be published on May 8th combined with an analyst and investor call. Please note that this call will be in the morning as we have our investor relation event at the same time at the Intersolar. The invitation for both events will be sent out in due course. With this I conclude the presentation and we are now happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Now our first question comes from Constantin Hesse with Jefferies. Please go ahead.
Constantin Hesse: Thank you. Can you hear me? Hi Jurgen, Hi Barbara. Thank you so much. All right, so my first question I think is really addressing the elephant in the room. Your guidance is 15-165. Your backlog is a billion. Service is probably going to be 100 million plus. So there is obviously quite a big gap which has to be filled there by C&I and Residential. And I'm just wondering what kind of a recovery curve you're expecting here because it seems that the market is still pretty bad. I mean I was quite surprised to have seen further cancellations in residential in Q4 again. So I'm wondering what are you seeing in Q1, Q2, Q3? How are your conversations going there in terms of an order pickup in that particular segment? And since we're talking about order intake, can you just provide some color on large scale order intake in Q1 as well? Thank you so much.
Jurgen Reinert: Yes, thanks Constantin. To shed some more light on that, yes, you're right on the Home and Business solution, which we now regard as one division for this year, we do still have some destocking taking place. I mean we can watch that clearly and we see that the stocks at the distribution has come down quite distinctively but that we do still have a little bit of overstocking that is available in the market. However, this is of course differently from distributor to distributor and some of them are nearly depleted. And on some products it's also different to others, of course, depending on the mix. So what we are seeing now is that we are on very low levels, are definitely back to positive on the order intake in these times. And we see also that it has not further decreased when it comes to the revenues and the order intake. So we are getting into position where it slowly but surely is expected to be picking up. And that's why we, for the entire year, and you said quarter one to quarter three, so moving from, from one quarter to another, we'll see a slight improvement so that we in total anticipate, as we've said in the presentation, a slight increase for, for the entire year. And when it comes to large scale, I would like to answer in such a way that we are quite positive that we have taken market share in both '23 and '24. Our growth was 92% in '23 and it was 39% in '24. And we are rather positive even for the entire world, not only for our markets, that our market share has increased, meaning that we've taken market share. But we are now, of course, as you can imagine, also entering a time, especially in the US where there's a little bit more reluctance in the market. So we do see the situation that we expect order intake to be slowing down at least for some months and then we cannot fully judge that in total of how that is going to be for the year. And that's why I started like that. We are quite positive that we will, we are performing well in the market. So it's a question of how the market will perform and we think that we will have in total a slight increase. By the way, we have roughly 90% of the orders for this year, for our vision for this year already filled with orders. So therefore, we are quite confident that this will be a, a year that has a slight increase even on the large-scale side.
Constantin Hesse: In terms of revenue. Right? Not order intake or order intake as well?
Jurgen Reinert: Yes, no, that's on revenues and on order intake. As I said, the situation is as it is, we think we are good position. We take market share right now, as you can imagine, a little bit of uncertainty in the market, especially in the U.S. but let's see of how that develops independent of how the market develops, we think we are a good position to keep our market share. At least that's how we view it.
Constantin Hesse: That makes sense. And maybe Barbara, maybe over to you, I mean just we can always calculate it back of the envelope. But roughly what would be the break-even level today for the home and C&I business after these restructurings? Roughly?
Barbara Gregor: This is too early to answer Constantin. Sorry. Because we are now in the phase where we really matching the people into the different divisions. So for the future we will have clear P&L responsibilities, meaning not only from the top-line but also to the bottom-line. That means full cost transparency and full fixed cost responsibility in the division. And we are still now currently in the phase where we are matching the people and matching everything and the personal cost due to our restructuring program. So let's postpone the answer to this question maybe to the second half of this financial year and then we have a clear picture. We have the overall picture already and we have based our budget on the overall development. But to make a clear segment divided P&L, it's currently too early to say.
Constantin Hesse: Okay, fair enough. And then maybe lastly just on, I mean I'm trying to, make kind of draw a picture on the sustainability of order intake. Clearly Q3, Q4 have been very large and large scale. And Jurgen, as you said, you expect a bit of a slowdown because of US reluctance given the exposure to the US business, to the US generally is in large scale. So if we think about, this German infrastructure package and great balancing solutions in Europe, could we potentially see an offsetting impact from this reluctance in the US driven by, I don't know, improved demand in, in Europe, for example. I'm just trying to get a feel for, what would be a more realistic level of order intake for large scale going forward and in terms of the regional mix, how we should think about it because obviously I think Germany is only a small portion of large scale. So could that increase significantly over the coming years?
Jurgen Reinert: Yes, by the way, it's not so small Constantin. If we look at the distribution, as we have said, nearly half of our revenues in large scale over the last two years has been USA. But that means also that a little bit above the other half is coming from Europe in first instance and Australia in second instance. So actually, we've seen over the last two years a little bit higher growth rate in Europe than in the U.S. Even though the U.S. growth rate was also great. So it is becoming substantial. And yes, if the EUR 100 billion of the EUR 500 billion is adequately used, especially also for storage systems, then this can have a balancing impact. It is, right? I mean it's not worlds in between the two anymore. If you look at Europe and then I'm not only looking at Germany, but also what is happening in Great Britain and Southern Europe, then it is becoming comparable and therefore there is a balancing effect that can be expected if Europe especially says that they want to continue the drive on renewables, which we think they're doing.
Operator: The next question comes from Lasse Stueben from Berenberg. Please go ahead.
Lasse Stueben: Hello, good afternoon. Just two follow ups please. Coming back to the outlook for the Home and Business solutions for 2025. I understand the kind of, the destocking point that that's slowly coming to an end, but just really can you help us understand what is the underlying demand looking like at the moment? I understand that there will be some, I guess, restocking, but what's really going to drive demand I guess in the, in the, in the, scale that you need it to reach guidance for this year. And that's the first question. And then the second question would be if you can just comment on the competitive environment in large scale and if there's been any changes here just given the pace at which this market is growing? Thank you.
Olaf Heyden: Yes, thank you Lasse. And maybe to come to your first question, which was HBS outlook for 2025 and what is really the demand from our perspective now? First of all, I think one has to understand the main issue and that is that still in these months the bigger part going to the market is coming from the distribution and not from our direct refilling of the distribution. So we see a bigger portion coming from the stocks of distribution and a smaller part only filling us, filling back up the distribution stock. So that is probably the biggest change that we are hoping to see. we came, we showed that on these slides. We came from revenues for Home and C&I together of EUR 500 million to EUR 600 million. We went to over EUR 1 billion and then we dropped to the three hundreds and giving that effect that at some point in time in the next months this will be depleted in the, in the stock by the distribution. Then we should be in a position, position to, to grow simply from that. Then we do think there is not a big race going to be expected in the, in the markets here in Europe, but only alone. The effect that we are then in sync again between delivering from our side and delivering into the market should have an impact. We are not naive and we think this will go with some price adjustments and we've said so earlier and this will be then the. The interesting part, but we have accounted for that in our planning for 2025 and we do think in total especially of course in the second half, but that we will grow in total for the year slightly from last year, which was of course very low as I said to this year. And your second question on the competition on large scale. No, it has really not changed a lot. There's always newcomers that we can see on either central inverters or string inverter technology for big projects. But in essence it's actually the same. You know the names, it's Sangro, it's Power Electronics and us, the Big Three. And then it would be of course the normal depending on market, either T-Mike or others. But this has not really changed apart from of course Tesla that we've also mentioned before on the storage side that have become a competition to count with. But this is roughly the same. It's not a real big change or another big change at all towards at least the last year.
Operator: The next question comes from Guido Hoyaman with Metzler. Please go ahead. Mr. Hoyaman, your line is open. Can you hear me now?
Guido Hoyaman: Yes. So two questions please. The first one would be to hear how you perceive the situation in the US at the moment both in terms of, if business is still going on there, renewables business or if everything is more or less on hold. So that's, it is of course again addressing your let's say order intake. You're recognizing at the moment over there. And the second question also related to the US. Any decisions how to access this market in the future. And one more would be completely other area. You had announced your intention to leave unattractive country markets. Country markets. Have any decisions already been made here which countries that might be? Thank you.
Olaf Heyden: Yes, thank you, Hoyaman. Maybe to go that through in the same order of direction. So as I've said before, yes we do see a reluctance right now with bigger orders in the large scale segment in the usa, which was to be expected after a lot of orders that came in, but also having it on a good level. And I also said that that 90% of our planned revenues for this year are already fixed with the backlog. So that is all the situation as we see it for, for this year. Do we see a lot of nervousness? Actually it's interesting to see that we probably sometimes hear from Europe looking on the US are a little bit more nervous than the US customers themselves. Our divisions are of course, both with the local organization, but even with people from here, division heads, etc. Flying over regularly and we see less concern actually than we might have ourselves from. From Europe. Yes, so they are not bullish, but they neither in the direction that they say this is all not going to last. So everybody's waiting a little bit, that's our perception. But we don't see real fear of something really imploding. That is that is not the case. So the customers are rather realistic, optimistic, looking into the future. Though of course, as we've said twice already now, we do have a period of wait and see at the moment that we can experience when it comes to access in the US. I would also like to start with the biggest chunk first. And that is of course in large scale. We have the absolute biggest portion of ourselves in the USA. And what we will do is, and we are doing that already for the last half year at least, is that we will, with a partner, localize the transformer business. The transformer and which is roughly if you look at transformer and then even integration, which we could have in the USA, which is more than 50% of the cost, and that will also be already available in this year. So we are then in a position to have a good setup where we have the biggest portion of the cost covered and then we will need to see what is needed beyond that, if it's just a local content question, as it has been until now and even the previous Trump government, then we are normally fine because we are below 10% of the total cost of the system, whereas batteries and or modules make the bigger part. And then if local content is on, say 80%, even if it would go up to 80%, then we are still below that ceiling and it's okay, especially if we consider that we will do the transformer there rather soon already with a partner. So we are accessing that and we are also continuing to look into how and continue to work with how we will set ourselves up for home and business solutions. But it's actually a situation where we also want to see what maybe comes out next week. As today there came out some taxes on cars from everywhere. But next week, on the 2nd of April, there's going to be more announcements and we of course also anxiously waiting for those, those informations. When it comes to your third questions of leaving unattractive markets, we've actually done most of the reorganization in the other countries already. So that has been done in the, in the last months. And among that we did take the decision to go out of Turkey with an organization and we decided to go down in most of the countries when it comes to personal, to adapt to the revenues for this year and beyond. But we also decided, for example, to put the remaining part of the team in South Africa into the Altenzo organization because the projects are very much Altenso like in South Africa for us. So these are things we've done apart from scaling down to the, to the right level in every country.
Operator: The next question comes from Mengxian Sun with Deutsche Bank. Please go ahead. Sir, your line is open. Maybe your line is on mute. We have a follow up question. Mr. Sun, can you hear us? Okay, we have a follow up question from Constantin Hesse with Jeffries. Sir. Mr. Hesse, your line is open. [Operator Instructions].
Constantin Hesse: Now it's working. Amazing. Great. You're just -- one last one, please. On at the end, demand market level Ed in the residential and C&I. What is driving potentially that comeback? Because obviously I think you had a huge demand increase because the electricity prices went through the roof and then you had a big slowdown because you obviously had a lot of stock buildup in the system but also a huge decrease in demand because of higher interest rates and electricity prices normalizing. So, what is now driving this slide? Even, even if it's, even if it's slow come back. What is driving the slow comeback? What are some of the key drivers here? Because interest rates are still high, electricity prices seem to be stable at relatively low levels. So what's driving a bit of the comeback here?
Olaf Heyden: Yes, Constantine, as I said, and I won't repeat that now in length and sure you've understood is that the first part is of course that we think we will get to higher levels just because of the depletion of the stock at the distribution. But then your question is of course more the underlying growth of what we see there. And that is. You're fully right. I mean it's probably, it's not electricity prices. They will would have a tendency to go down further. Also the German government, for example, said they would aim for -0.05 per kilowatt hour. So that would not be the part. Interest rate is a minor part, but would also not help right now, as you said. So it's probably Just the matter of fact that it's calculating, it's penciling down, the costs. When we were in the middle of the beginning of the war, Russia, Ukraine, then if you would buy a system, a 10 kilowatt system with 10 kilowatt hour storage, then you might have been up at over EUR 30,000 in Europe and now we are nearly at half of that. So if you calculate it then you have payback times which are quite attractive actually. So this is our hope that we do see an underlying growth coming from really attractive cost situation for pricing for the customer. So if you do a payback calculation, depending of course on how you pick your storage is, etc. You should be definitely far below 10 years. And that is something that people should have as a possibility to say that this pencil is done for them.
Constantin Hesse: Okay, that makes sense. And then if I may just lastly on cash flow, I mean just looking at CapEx, I mean the new factory is now online or the new facility is online. Going forward now, I would assume there's no further need for any additional out of the ordinary CapEx. So going forward, what kind of a maintenance CapEx should we be thinking about here, Barbara? 2% of sales. What's kind of the rough estimate here going forward?
Barbara Gregor: In 2024 we had the CapEx of around about EUR 120 million in total, EUR 120 million in total. This consisted of round about EUR 50 million CapEx in fixed assets and EUR 30 million in IFRS. EUR 16 million leasing which is also counted into the CapEx as you know and additional capitalization of R&D investments of round about EUR 40 million. So this all in all came out then with EUR 120 million. So we had some extraordinary items, especially the IFRS leasing. It's due to our production capacity which we have established here in Germany for the new large-scale product. So for the future we will see a normalized CapEx in fixed assets and maybe in R&D, between EUR 50 million and EUR 70 million on the yearly rate. And this is what we can see as a normalized level for the future.
Constantin Hesse: Combined, right? EUR 50 million, EUR 70 million combined, not capitalized.
Barbara Gregor: Yes combined.
Operator: The next question comes from Roberto Casoni with Otus Capital. Please go ahead.
Roberto Casoni: Hello? Hi, can you hear me? Okay, fantastic. Thank you for taking my questions. I have two actually. The first one is on, is on HBS or the new HBS. So am I wrong that you are basically incorporating expectations of a slight price increase in '25 and together with a slight volume increase, I just would like to understand a bit what is the situation in Europe and how is the competitive arena? Are the European authorities protecting you guys against Asian products coming? What is the price at which those products coming? Is the environment correct for you to think about even stable pricing in this, in this segment? Thank you. And then I come for the second one. Thank you.
Barbara Gregor: Thank you for the question. So currently we see that there is price pressure in the market and we have already also announced this in our budget planning. That means price increase we will not see, but we are avoiding to do everything to see no price decrease through to the differentiation as much as possible. But there is price pressure, there is price pressure, especially on the hardware. That means the hardware is really under commodity price pressure. And this is the way why we go into a solution provider by adding not only the, by adding to the hardware, also our software solutions, our EV charging everything which can combine that in addition with the grid connection and by selling them to the best price to the grid. And this is why we are still going and still rely on the way that we are performing and developing our company into a service and solution provider. So volume increase is as explained largely like the destocking of the distributor, which is currently the level which we expect expected in our planning. Prices will be under pressure, but we will do everything to avoid price decrease through our differentiation.
Roberto Casoni: Okay, that's very clear. But actually the second question comes as a follow up from your comment. I mean you're doing a great job in transforming and restructuring the whole company, but given how the world is moving, does it still make sense to produce, to produce hardware in Germany? This is both for both the HBS and the large scale. Does it still make sense to have plants in Germany?
Olaf Heyden: Yes, maybe. To come back to you also first said, do we have any protection as yet? We can say unfortunately not. So there is help for our Chinese competition from China, even for selling in Europe and there's no protection in such a way for the European manufacturers. But we do see that at least the European Commission starts thinking about possible ways to have a level playing field much more than before. Meaning there's not a big discussion, which we would also not like to have to have high tariffs, etc. But at least to, to make sure that one has a level playing field. And, and then those discussions are taking place. Then back to your, your last question. Would it make sense in the longer run to produce hardware in a bigger scale in, in Germany or Europe? First let us come to your. To the bigger of the two divisions, which is clearly now of course large scale for us. There we do see that this is really advantageous. Why? Every project is rather different, especially in Altenso, but also in the large scale division. And we benefit very strongly from having production and R&D and quality and procurement very close together. And Even if it's 100 units, it's a lot for us, it's a big revenue. But quite often these hundred units are totally different to the next order which comes in on 50 or 150 units and thereby it's very important to have vicinity of R&D and production. Then you need to consider also that if you look at the Cox, then the material is the absolute biggest part and we do source the material worldwide for large scale also and for home and C&I. So therefore we do benefit from the biggest pot, namely on the material. And then the portion of labor in Europe is rather little. This is all true for large scale home and business solutions. Yes, you might be having a point there as we have been in the past also working with partners outside Europe and we will in the next years definitely always follow up on that decision or those, those possibilities to see what is the best part. But as Barbara said, our differentiation will be over going to the solution that we want to provide and that we can do mainly over software. And there we are very sure that we will keep the software here in order to have the cyber security as explained earlier and to be very flexible when it comes to the software.
Roberto Casoni: Yes, that's very clear. And just a follow up. But out of the 1100 FTEs employees that, that you're planning to reduce, how many of those are from, from Germany?
Jurgen Reinert: Yes, thanks for the question. We, we plan, as you said, 1100 employees to, to get them out of company and 700 of them will come from Germany, 400 from outside of Germany. And to give you also already an idea where we are from today's perspective, we are pretty much down the road here. We have had a couple of measures in place in order to get these numbers reduced. We launched recently a voluntary levers program which is actually in negotiation with the different employees here. And we expect the next one or two months to at least come to a point that we can close that exercise from a contract point of view and then we will see how this flows into our P&L.
Operator: Thank you, ladies and gentlemen. This was our last question. I hand over back to the management for any closing remarks.
Barbara Gregor: Thank you very much again for your interest and your interesting question and please do not hesitate to contact us in case of any further questions. Our Investor Relations Department is happy to receive your questions. Goodbye. Thank you. And Avida Zin from Kassel, Germany.
Olaf Heyden: Thank you. Bye-bye.